Operator: Ladies and gentlemen, thank you for standing by, and welcome to Pathward Financial's Third Quarter Preliminary Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Darby Schoenfeld, Senior Vice President, Chief of Staff and Investor Relations.
Darby Schoenfeld: Thank you, operator, and welcome. With me today are Pathward Financial's CEO, Brett Pharr; and CFO, Greg Sigrist, who will discuss our preliminary operating and financial results for the third quarter of fiscal 2025, after which we will take your questions. Additional information, including the earnings release and the investor presentation that accompanies our prepared remarks may be found on our website at pathwardfinancial.com. As a reminder, our comments may include forward-looking statements. Those statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to update any forward-looking statements. Please refer to the cautionary language in the earnings release, investor presentation and in the company's filings with the Securities and Exchange Commission, including our most recent filings for additional information covering factors that could cause actual and anticipated results to differ materially from the forward-looking statements. Additionally, today, we will be discussing certain non-GAAP financial measures on this conference call. References to non-GAAP measures are only provided to assist you in understanding the company's results and performance trends, particularly in competitive analysis. Reconciliations for such non-GAAP measures are included in the earnings release. Finally, the financial information we will discuss is preliminary pending our previously disclosed restatement. These results incorporate our current view of the new accounting methodology under which we recognize certain relationships in the Credit Solutions business within held-for-investment loan balances on a gross basis. The company's actual results may differ materially from these preliminary financial results. All time periods referenced are fiscal quarters and fiscal years, and all comparisons are to the prior year period, unless otherwise noted. Now let me turn the call over to Brett Pharr, our CEO.
Brett L. Pharr: Thanks, Darby, and welcome, everyone, to our preliminary earnings conference call. The strategy that we set out to accomplish at the start of our fiscal year 2025, being the trusted platform that enables our partners to thrive, remains our main focus. We've made progress on many fronts, and I'm incredibly proud of what our team has been able to accomplish over the past 9 months. This strategy starts with balance sheet optimization where the assets that we choose to originate must have either a high risk-adjusted return or optionality that can also generate fee income growth and higher return on assets. The success of our commercial business lies in our ability to operate in niche markets or be creative with our loans due to our collateral management capabilities. Because of this approach, we operate in a unique position where we can offer structures to our clients that traditional banks may not have the ability to. This differentiation matters as our customers are able to receive the financing that meets their needs. And because of our stable deposit base, we are able to provide our clients, typically small- to medium-sized businesses, loans at attractive rates. These loans are originated across the country through a combination of an in-house business development team, referrals from other institutions or through partners. In the third quarter, we continued to see strong originations within commercial finance at solid yields. The team has done a tremendous job redeploying the additional capital that was generated earlier in the fiscal year with the sale of some of our loans and securities. The funds generated were almost $1 billion, and we originally believed it would take us 12 to 18-plus months to redeploy the funds from just the insurance premium finance sale and corresponding security sale. I'm excited that we were able to accomplish it in a shorter time frame. In addition, credit sponsorship, which we have been providing since 2018, is another area where we are starting to see some additional opportunities. As we announced on our last earnings call during the June quarter, we signed a contract with a new credit solutions partner to originate loans through their lending marketplace. This business gives us an alternate way to leverage our balance sheet and generate sustainable fee income. With the second part of our strategy, we have been investing in technology to help us evolve and scale our product offerings. This gives us the opportunity to focus on delivering sustainable fee income growth since our ongoing investment in technology is particularly impactful when we think about partner solutions. We are building and scaling products that allow us to co-innovate with some of the largest players in the business. This approach has helped to fill our pipeline in Partner Solutions, which remains strong. This year, Pathward contracted for 11 opportunities to expand products with existing or new partners. One area where our investment has paid dividends is acquiring. This product has experienced triple-digit revenue growth year-to-date. After the quarter closed, we signed a multiyear deal with Checkout.com for acquiring sponsorship and are excited about the upcoming partnership. The progress both our partner solutions and technology teams are making is very important and is allowing us to bring multi-threaded solutions to our partners. We believe continued investments in technology will continue to drive growth with our existing partners and enable us to partner with new clients as well. Third and something that I am incredibly proud of are our people and culture. Recently, Pathward was named one of the best companies to work for by U.S. News and World Report for 2025 to 2026 on the finance and insurance list and the Midwest list. Our culture is driven organically by a sense of purpose, financial inclusion, a belief in giving back to our communities and a desire to work for a Talent Anywhere company that can be a greater partner and solutions provider. This has also earned Pathward the Great Place To Work Certification for 3 years in a row. This type of recognition is humbling and a true testament to the strength of our people who continue to execute against our objectives and purpose. The final component is risk and compliance. As we grow our product offerings across the enterprise, we are able to showcase our experience and mature risk and compliance infrastructure that is supported by our three lines of defense. We understand the complexities of the industry and aim to remain nimble through the ever-changing regulatory environment while making the necessary investments in this area. It is our belief that strong execution of this strategy will continue to position the company well in future years and generate strong growth and returns for our shareholders. As a final comment, while we were very pleased with the performance of our tax team this year, they are already gearing up for next season. We have agreements with all of our tax software partners heading into the next tax season, including recently renewing our relationship with one of the largest tax software providers. The 3-year agreement lays the foundation for an expanded partnership. Overall, we believe that we have one of the most comprehensive product mixes in the tax industry and feel confident that we will continue to expand our network as we strengthen our relationships and continue our strong sales and marketing efforts. Now I'd like to turn it over to Greg, who will take you through the financials in more detail.
Gregory A. Sigrist: Thank you, Brett. As a reminder, all financial results shared today are preliminary pending our previously disclosed restatement. All results for comparison purposes reflect the new accounting methodology for the held-for-investment consumer loan portfolio with impacted balances totaling $191 million at June 30. We're very pleased with our third quarter results that show the impact of our strategy. Our focus on balance sheet optimization has contributed to increasing net interest income over the past few years. We are encouraged by the stability of our net interest income and net interest margin when compared to the prior year. Net interest margin in the quarter was 7.43% and adjusted net interest margin, which includes rate-related card expenses associated with deposits on the balance sheet was 5.98%, both of these expanded from last year's quarter, which were 7.26% and 5.76%, respectively, and when you compare them to the March quarter, which were 7.12% and 5.72%, respectively. Noninterest income grew 11% from the prior year. Tax solutions continued to produce results that outperformed last year's quarter and secondary market revenue and card and deposit fees were also higher. Secondary market revenue is benefiting from our balance sheet optimization strategy, part of which focuses on originating loans that have optionality and can generate fee income. As a reminder, we are generally targeting quarterly secondary market revenues in the range of $5 million to $7 million. Expenses in the quarter were elevated as we continue to invest in technology and compliance, which I indicated last quarter would occur in the back half of the year. This can be seen in the occupancy and equipment expense line, which includes our technology costs as well as legal and consulting fees. We expect legal and consulting fees to remain elevated in the fourth quarter and then to taper off into fiscal year 2026. Deposits held on the company's balance sheet at June 30 declined from a year ago, primarily due to the timing of when the quarter ended and the runoff of EIP deposits. Custodial deposits held at partner banks on June 30 were $431 million, an increase from $353 million a year ago. Loans and leases at June 30 increased when compared to last year. As Brett mentioned, this represents pretty significant growth since our prior year's total loan balance included insurance premium finance loans, which were sold earlier this year. Additionally, the yield on new originations on commercial finance loans during the quarter was 9.55% as compared to the March quarter yield on average balances of 8.24%. Our allowance for credit loss, excluding our seasonal tax service lending was 160 basis points in the quarter with an annualized net charge-off rate in the quarter of 52 basis points. As we mentioned before, our NPL ratio can be a bit lumpy from time to time, but then recover in the next quarter or 2 as the loans either return to performing or we are able to recover the collateral. In the June quarter, the increase in nonperforming loans was driven by three loans in different loan verticals. One was related to fraud, but is well collateralized relative to carrying value. And the other two, we expect to either return to accrual status or to result in recovery that will cover the majority of, if not the full balance. This is what makes our commercial finance team so successful, how we remain comfortable with our credit book and why we focus on the net charge-off rate versus NPL ratio. Our liquidity remains strong with almost $2.7 billion available. This is higher than where we were last year at this time, and we're extremely pleased with our position. During the quarter, we were able to repurchase approximately 604,000 shares at an average price of $74.49. This brings year-to-date repurchases to almost 1.9 million shares. Based on our preliminary analysis, this accounting change should have a negative impact on net income in fiscal 2022 and 2023, primarily due to the increase in provision that will be recognized early in the life of the contracts as the portfolios ramped up. The inflection point appears to be 2024 when the impact of the recognized credit enhancements began to flow through as the portfolios approach a steady state, thus producing higher net income. However, should these portfolios remain in this steady state, we would expect them to have a more muted impact on fiscal fourth quarter 2025 and full year 2026. Therefore, for fiscal year 2025, we are expecting a preliminary EPS range of $7.50 to $7.80. This includes the following assumptions: one rate cut in fiscal Q4 of 2025, an effective tax rate of 16% to 20%. For fiscal year '26, we are introducing a preliminary EPS range of $8.25 to $8.75, which includes the following assumptions: no rate cuts during the year, an effective tax rate of 18% to 22% and guidance for fiscal year 2025 and fiscal year 2026 includes expected share repurchases. I'd like to reiterate again that these are preliminary numbers pending the outcome of our restatement. This concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from Joe Yanchunis with Raymond James.
Joseph Peter Yanchunis: So it appears the accounting change is taking a little longer to remedy than expected. Can you discuss how much of a distraction this has been for management? And if you have a sense on when we could expect the new filings?
Gregory A. Sigrist: Well, I think the accounting methodology is up from a distraction perspective. We've got the lion's share of it behind us, Joe. There's a lot of process though that goes into working back through 13 quarters, which is what it takes and then redrafting a super 10-K and whatnot. So I would say we're probably in the middle to later innings in terms of getting it completely done and behind us. So we're obviously comfortable enough with the methodologies, and we're far enough along on all the quantifications that we felt comfortable putting out these preliminary numbers. And you probably have noticed in the IR deck itself in the back, we actually put in 8 quarters of the new balance sheet and income statement with the new accounting. So that should give you a sense of kind of where we are at the comfort level.
Joseph Peter Yanchunis: Okay. I appreciate that. And kind of sticking on this topic and perhaps I missed this, but can you quantify the incremental expenses associated with the accounting change? And then -- can you give a sense for -- I'm sorry. And then do you have a sense for how much earnings will be pulled forward from prior periods to future periods?
Gregory A. Sigrist: So that was the -- I think the genesis of being able to put those -- the 8-quarter table in for you. Unfortunately, you're going to have to wait until we file the restated 10-K to see 2022 and 2023, the full years. But as I mentioned, directionally, you're going to see lower income in those years as we built the provisions. And I think as we've disclosed in our 8-K filing, we won't get the benefit of the contractual waterfall payments for the credit enhancements until we actually receive them. And those really hit the inflection point in 2024. So when you go back and you see the quarterly numbers, we're able to share with you in the IR deck and compare them to what was reported, what you're going to see is additional income in '24, but then it kind of levels out and the impact since then really over the last 3 to 4 quarters has been fairly muted, pretty flat in the aggregate. And I think your other question was on expenses. I think again, as you do that math at a line item level, that will pop out. It will show you what those impacts were quarter-on-quarter for that time horizon.
Joseph Peter Yanchunis: Okay. I appreciate that. Yes, I haven't had a chance to dig through everything yet, just kind of given the restatements that were there. But kind of shifting over to credit quality. It looks like there was a little degradation in the quarter, and you attributed the increases in NPLs to commercial and consumer finance portfolios. Can you provide a little more color on what occurred?
Brett L. Pharr: Yes. So this is Brett. So commercial, and this is not a portfolio question. These are three distinctive episodic events that happen sometimes in different verticals or sub-asset classes that we have. So there's no portfolio or systematic kind of thing going on here. These are just stories. And these we have all the time, as Greg mentioned in his comments upfront, one of them was a fraud, has been appropriately written down to where we know we will get out with the collateral we have, which we know how to manage that. And the other two are actually trending quite positively, but they're very much covered by collateral value as well. So there's no real credit story here. There's three different individual stories about some things that happen that are unrelated and very unique. And just -- we've had these before. We've talked about this in the past. And what we focus on is the net charge-off rate because an awful lot of times, these things turn into recoveries as well because we are particularly good at managing collateral.
Joseph Peter Yanchunis: Appreciate that. And then kind of last one for me here. I just want to kind of zoom out a little bit. So AI has been a pretty big theme across the market over the past year or so. And as a tech-forward bank, can you discuss your strategy around AI and if that's something you're pursuing and how you think that, that could benefit, say, the P&L over the near to intermediate term?
Brett L. Pharr: Yes. So first of all, like most forward-looking companies, we're thinking about AI in areas of efficiency. These are office tools. These are things that you do that are around software engineering. Eventually, it will likely get to some development capabilities. And so that's a fairly common thought that you will get from most forwardly-thinking companies. Obviously, in a bank, we have to think very carefully about information security and models and being sure the models are tested and et cetera. But yes, we're doing that, and we're working on that. And over time, that will create some efficiencies for us. I think particularly exciting in our space is because of the third-party delivery of banking services, we are responsible for our partners' actions that are facing the consumer. And so there's a lot of opportunities in AI to be able to do things that instead of being sort of a sample of what's going on, maybe full file and be able to do it much more efficiently and more quickly. And I think that's going to help a lot with us ultimately in the cost structure. Now you went -- the tail end of your phrase was how it will impact the P&L. I think in the next couple of years, you're not going to see any impact in the P&L from this. What you're going to see over time is potential less increase in cost because we won't have to add more as we bring on more volumes. But I don't think there's going to be any kind of a dramatic shift in that in the intermediate term.
Operator: There are currently no other questions in queue. [Operator Instructions] The next question comes from Tim Switzer with KBW.
Timothy Jeffrey Switzer: Just jumped over from another call. One of the questions I had, and apologies if you've talked about this, but I believe you guys maybe have one or two partners with some crypto-related partners. And I'd love to know kind of what products you're offering there, what your services are? And then have you guys explored any opportunities internally to develop any kind of crypto-related products on your side, maybe a stablecoin or anything like that or how you could support the growth in this industry going forward?
Brett L. Pharr: So you're right on your first point being that we have, for some time, provided what I'll call access devices in U.S. dollar to partners that provide crypto-related digital wallets. And that's mostly so they can onboard and offboard assets from their particular consumers' wallets or investors' wallets. So that's been there for a while, and we're -- that's our bread and butter, and we know how to do that, and we like doing that. Obviously, being in the payments business, you could surmise we're looking at all these things. And there's a whole lot of use cases that banks like ours could be considering. Being a tech-forward bank, we would likely be ahead on some of those things. And so we are evaluating that. There's also just a whole lot of movement going on right now. So it's going to be a little while before it's clear how things settle out. One thing to remember about us is we tend to be much more around consumer-type transactions. Now we do some B2C. We do some very limited B2B. Likely, the early use cases for this is in the B2B space or in the international space, which may not be our first place to go look. But we'll be thinking about various use cases and what makes sense and working with our partners and the networks to figure out the right answer in that. But it's here to stay, and we'll likely have to be a player.
Timothy Jeffrey Switzer: Okay. Yes. Makes sense. And then can you provide an update on the credit trends you're seeing in the portfolio, particularly within the commercial finance? Is there any pressure at all from some of the macro uncertainty or anything like that or higher rates? Or are most of your borrowers still doing pretty well?
Brett L. Pharr: They're doing very well. We noted in our comments that NPL bumped a little bit this time. You can go back and see that, but there are three credits that are -- what I would call episodic, and they're in different verticals that have their own story, and we're handling those correctly, and they're collateral managed, and they're covered one way or the other. So -- we tend to manage that net charge-off line because even when there is a write-down, oftentimes because of our collateral managed approach, they go right back up. So no trends, no story, no industry that's in it. We generally do not do commercial real estate, which is important to know. So we're in good shape.
Timothy Jeffrey Switzer: Okay. And then can you update us on the partner pipeline in your Banking-as-a-Service business? How is that trending? I assume, still pretty robust. And then what are some of the more near-term opportunities you guys are seeing within embedded finance specifically?
Brett L. Pharr: Yes. So the pipeline continues to be strong. As we've gone through sort of an industry reshuffle, there's lots of people looking for a different primary or secondary bank partner. We sort through those, and we evaluate those and those are ongoing. We said in our comments, we -- this time, it contracted 11. Is that right? Give me straight 11 either contracts for existing partners or new partners this year, right? So that's happened already, and then we've got things that we're looking at. So very much a full pipeline. Where are we seeing those? In order, I would rank them, consumer lending, marketplace sponsorship has been really strong. Then some of the more traditional issuing/payments things. The embedded financing is an emerging story. And there's just -- those are all very, very unique use cases, and you have to work through each one of those and the funds flow. So those are coming, but I think those are farther out per se than the things that we're getting in the marketplace lending and issuing/payments.
Timothy Jeffrey Switzer: Okay. Got it. And then the last question I have for you is your expectations to continue deploying capital through share repurchases.
Gregory A. Sigrist: Yes, nothing's really changed there, Tim. I think -- as I said in my prepared remarks, I think we've repurchased roughly 1.9 billion this year -- 1.9 million shares, which is pretty phenomenal. And particularly given our ability to generate capital, we would expect to continue buying back shares. I would think that it's going to probably stay in that more muted range for next year. We still want to continue to accrete a bit more capital and be mindful of where our share price is trading. But as I said, with the trends we've seen where our multiple is, we still think it's a green light though.
Operator: I'll now turn it back over to the management team for closing remarks.
Brett L. Pharr: Thank you, everyone, for joining our call today. Have a great evening.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your line.